Operator: Ladies and gentlemen, thank you for standing by and welcome to the ZipRecruiter Inc. Q4 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's call is being recorded.  I would now hand today's call over to Drew Haroldson, Investor Relations. Please go ahead, sir.
Drew Haroldson: Thank you, operator, and good afternoon. Thank you for joining us in our earnings conference call during which we will discuss ZipRecruiter's performance for the quarter and year ended December 31, 2023, and guidance for the first quarter 2024. Joining me on the call today are Ian Siegel, Co-Founder and CEO; David Travers, President; and Tim Yarbrough, CFO. Before we begin, please be reminded that forward-looking statements made today are subject to risks and uncertainties relating to future events and/or the future financial performance of ZipRecruiter. Actual results could differ materially from those anticipated in these forward-looking statements. A discussion of some of the risk factors that could cause actual results to differ materially from any forward-looking statements can be found in ZipRecruiter's annual report on Form 10-K for the year ended December 31, 2023, which will be available on our investor website and the SEC's website. The forward-looking statements in this conference call are based on the current expectations as of today and ZipRecruiter assumes no obligation to update or revise them, whether as a result of new developments or otherwise. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, not a substitute for or in isolation from GAAP results. Reconciliations of the non-GAAP metrics to the nearest GAAP metrics are included in ZipRecruiter's shareholder letter and in our Form 10-K. And now, I will turn the call over to Ian.
Ian Siegel: Thank you, Drew. Good afternoon to everyone joining us today. In 2023, demand for recruiting services dropped throughout the year for companies of all sizes. This culminated in Q4 of 2023, which had the lowest BLS reported hiring rate since 2014, excluding the onset of the pandemic. Quits and separation, some of the primary drivers of employer hiring are down to pre-pandemic levels. While in 2021 and 2022 workers left jobs for higher wages, wage inflation has abated and macroeconomic uncertainty has increasingly kept people in their current roles. With fewer job openings and lower employee turnover, the great resignation has turned into the big stay. As has been our standard operating practice, ZipRecruiter responded to the downturn by rapidly reducing expenses. As a result in 2023, we delivered net income of $49 million and adjusted EBITDA of $175 million. This represented a net income margin of 8% and adjusted EBITDA margin of 27% year-over-year increases of one and seven percentage points, respectively. While there have been significant top line headwinds in 2023, product improvements have continued at full speed. Our long-term product and technology roadmap has remained fully funded. A few examples include our AI assistant Phil. Phil continues to improve as a conversational AI-driven career advisor, helping job seekers understand their goals and providing personalized job recommendations. Job seekers onboarded by Phil generate nearly twice as many applications as job seekers who come in through other channels. Another example is building solutions for enterprise. In the third quarter of 2023, we introduced programmatic campaign optimization for larger customers. In Q4, we delivered the first round of optimizations to that solution, resulting in a 40% improvement in campaign performance over the prior quarter. A final example of our investment is our ongoing efforts to deeply integrate with applicant tracking systems. In 2023, we continued to deploy ATS integrations, which allow enterprises to activate ZipApply our one click application flow for job seekers. ZipApply delivers three times more applications per job for the same amount of spend. These integrations also enable customers to share hiring signals with us, which makes our matching technology smarter over time. Navigating the ups and downs of the labor market is a reality of our business. In 2023, this meant conserving capital by primarily pulling back on marketing expenses. Although we retain flexibility to manage expenses if the labor market slows further, we think it is prudent to continue investing in long-term initiatives like the ones I've shared. The long-term opportunity to disrupt how job seekers and employers connect remains large. We will continue to improve our matching algorithms and products to increase engagement between employers and job seekers. While the shape and duration of the current labor market cycle remains out of our control, we remain focused on our mission of actively connecting people to their next great opportunity. With that, I will now turn the call over to Dave to review progress on our growth strategies. Dave?
David Travers: Thank you, Ian, and good afternoon. Despite the headwinds, we were able to continue investing in key strategic initiatives because of our strong financial foundation. Just as we have over our history, we're confident that over the long-term we will continue to gain meaningful market share for both offline and online recruiting solutions. We made significant progress in 2023 using innovative technology to deepen engagement between employers and job seekers. Our first strategic pillar is increasing the number of employers and revenue per paid employer in our marketplace. Growing revenue from large enterprise customers is a significant opportunity, and in 2023, we introduced two new solutions that increase the speed of implementation and the effectiveness of enterprise campaigns. Our automated campaign creation solution simplifies the process of creating and activating new campaigns. And over the course of 2023, we iterated on tools that significantly reduce campaign creation time from hours to minutes. By driving customer adoption of our tools, fewer than 10% of new campaigns are now created manually. Our approximately 14o third-party ATS integrations are a strategic investment, nearly a decade in the making. Integrations bring employers jobs directly into our marketplace where job seekers can apply with our one click ZipApply feature without leaving our website. In Q4 of '23, the proportion of our performance marketing revenue driven by ZipApply enabled jobs grew 23% against the prior year period. Moving onto our second pillar, increasing the number of job seekers in our marketplace. As Ian mentioned, the great resignation has turned into the big stay with historically low unemployment and turnover resulting in relatively flat job seeking activity year-over-year in the U.S. labor market. This is consistent with what we see in our marketplace. Despite the 45% year-over-year decrease in sales and marketing expense in 2023, we had nearly 58 million unique job seeker interactions per quarter in 2023 on average compared to nearly 60 million in the prior year. We believe that this is a testament to our high aided brand awareness and superior job seeker products as organic visits from job seekers grew by more than 40% over 2022 and installs for our number one rated job search app for iOS and Android grew by over 20% year-over-year. In the Q4, we further integrated the power of large language AI models into our job seeker products. For example, job seekers can now engage with Phil or AI-driven career advisor conversationally. This provides an even more engaging experience, particularly when new job seekers proceed through Phil's onboarding flow. Phil interacts with job seekers more fluently learning about their experiences and suggesting job titles seekers may be interested in. Job seekers love our LLM fueled Phil. Users are 23% more likely to select one of the job titles suggested compared to the jobs shown in the prior onboarding experience. We also leveraged LLMs to introduce a new feature that assists job seekers with resume creation. Long theme is a cumbersome task that involves the meticulous crafting of detailed job experience descriptions. Job seekers can utilize ZipRecruiter's new AI enabled tools to create job experience descriptions by selecting key tasks and responsibilities, eliminating a major pain point in the job search, and further differentiating our job seeker experience. I'll conclude with our third pillar, making our matching technology smarter over time. We bring employers and job seekers together using machine learning and AI. Our marketplace gets smarter over time as our algorithms learn from observed behaviors across billions of interactions between job seekers and employers. In 2023, we delivered nearly 40 million great matches, an increase of 24% over the prior year. Further job seeker engagement has grown with the average job seeker generating 10% more applications in Q4 of '23 than in Q4 of '22. While overall employer demand has been directly impacted by macroeconomic pressures and uncertainty, our paid employers are getting incredible results. We delivered over 60% more applications per paid employer in Q4 of '23 than in Q4 of '22. As previously announced in Q3 of '23, we leveraged cutting edge AI and machine learning techniques to improve our resume parsing capabilities. In Q4, we released an update to our resume parser that improved precision by an additional 9%. Separately, we also introduced new parsing capabilities for job postings, taking a comprehensive look at certain job description details related to qualifications, responsibilities, compensation, and company details. With improved parsing capabilities for both resumes and job postings, our algorithms will be able to better match job seekers and employers. Now I'll turn it over to Tim to talk through the financial results and our guidance. Tim?
Timothy Yarbrough: Thank you, Dave and good afternoon, everyone. Our fourth quarter revenue of $136 million represents a 35% decline year-over-year and is reflective of a continued soft hiring environment. Quarterly paid employers were 71,000, representing a 35% decrease versus Q4 2022, and a 21% decrease versus Q3 2023. This is primarily reflective of weakness among small and medium sized businesses, which make up the vast majority of our paid employers. Revenue per paid employer was $1,922 down 1% year-over-year, and up 11% sequentially. The decreased year-over-year is another signal of a tighter hiring market while the increased quarter-over-quarter consistent with historical seasonal trends. Net income was $6 million in Q4 '23 compared to $19 million in Q4 '22, and $24 million in Q3 '23. Q4 '23 adjusted EBITDA was $42 million equating to a margin of 31% compared to $51 million, a margin of 24% in the prior year period, and $54 million with a margin of 35% in Q3 '23. Net income and adjusted EBITDA decreases both year-over-year and quarter-over-quarter are primarily related to revenue declines. The fourth quarter was also impacted by a one-time $7.5 million charge in general and administrative expenses attributable to the acceleration of unrecognized stock-based compensation expense from the cancellation of market-based restricted stock units. Cash, cash equivalents and marketable securities was $520 million as of December 31st, 2023 compared to $497 million as of September 30th, 2023. Cash, cash equivalents and marketable securities increased quarter-over-quarter as the fourth quarter cash provided by operating activities was $34 million. Moving onto guidance. As discussed above, the macroeconomic backdrop remains challenging. Our Q1 '24 revenue guidance of $120 million at the midpoint represents a 35% decline year-over-year. Our adjusted EBITDA guidance is $17 million at the midpoint or 14% adjusted EBITDA margin for the quarter reflects our continued fully funded investment in hiring top engineering talent, new technology solutions and sequential increase in sales and marketing consistent with how we've typically approach marketing at the start of the year. Despite continued uncertainty compared to prior quarters, there is more positive consensus among macroeconomic forecasters around a smoother transition back to a more typical economic environment. Therefore, we remain prepared for wide range of outcomes in 2024. As we evaluate the evolving backdrop, our operating philosophy is to level off adjusted EBITDA margins in the low to mid-teens, if we see the labor market downturn reaching a trough. We will continue to assess the labor market's recovery and expect the return on our investments remaining poised to increase investment as opportunities arise. And alternatively, we are always prepared to show further cost discipline if conditions deteriorate. In any scenario, our flexible financial model and operating discipline allow us to invest in technology and grow our data advantage. We continue to be focused on what we can control, maintaining our strong financial foundation while staying ready for the eventual labor market recovery. With over $500 million of cash on the balance sheet and historical track record of profitable performance, we are ready to respond to whatever the external environment throws at us in 2024. With that, we can now open the lines for questions. Operator?
Operator: [Operator Instructions] Your first question is from the line of Kunal Madhukar with UBS.
Kunal Madhukar: Hi. Thank you for taking my question. One, when we look at -- give me one sec. When we look at the number of matches that increased 24% year-over-year, and you delivered 60% more applications per paid employer in 4Q versus the year ago period. So why was performance revenue down like 40%? That's one. And second is, when you give the guide for the fourth quarter, at that time, the guide seemed to be conservative to maybe even lower than that, given seasonality. So what changed during the quarter that you were able to come in and beat the estimates. Thank you.
David Travers: Thanks Kunal. This is Dave. I'll take the first part of that and let Tim take the second. So, yes, what we saw over the course of the year is incredible progress on our matching technology, as we continue to invest despite the changing macroeconomic environment. So as you know, we're a two-sided marketplace, and there was a significant change in demand over the past 18 months, and that impacted our revenue initially with small businesses when we first highlighted the change in the environment 18 months ago. And over time, it has increasingly impacted large enterprises as well. And that's really the demand side of the equation is really what has driven the revenue decline in performance marketing. To your point, however, we made incredible progress in delivering more value, even despite the challenging demand environment where we are growing the value as measured by great matches that we grew by 24% as you noted, and that on a per paid employer basis and paid employers obviously have declined, we're delivering way more value, 60% more applications per paid employer over time. So the value of the product in the marketplace that we're delivering to employers continues to grow as we continue to invest despite the changing demand environment, which drives revenue in the short term. But what -- that value delivery is what gives us tremendous confidence over the long-term.
Timothy Yarbrough: Yeah. Kunal, this is Tim. I'll answer the second question about Q4 versus the guidance. So the upside in revenue really came from the account of paid employers that came in a bit higher than we expected. Q4 is notoriously difficult to predict given the holidays and how seasonally the typical quarter cadence is something where it starts off relatively strong October through middle of November and starts to tail off in Thanksgiving, and then we cover slightly before, again declining through the end of the holidays. And so, back end of that quarter in a traditional year is difficult to predict, but given the macro headwinds that we've been facing is all the more so -- but that's the general shape of how revenue kind of spilled out throughout the quarter.
Operator: Your next question is from the line of Brian Fitzgerald with Wells Fargo.
Brian Fitzgerald: Thanks guys. How would you characterize the -- I mean, thank you for the color so far, but I want to try and parse this apart a little bit more. How would you characterize the hiring environment right now in terms of what are hearing from employers, that should have or are close to firming up their hiring plans for the year? Are they pushing out, kind of locking down those hiring plans that's anomalous from a normal year? And then anything to call out in specific verticals, are you seeing any trends across verticals that stand out, or are out of sync with what's going on with the rest of the market?
Ian Siegel: Hi, this is Ian and I will take this question. And I think the important thing to understand is that over the last few weeks we have seen early signs of the labor marketing flattening out. And because of this, I just want to reiterate our operating philosophy. So if you look at what happened last year, and really for the last year and a half, we've had an industry-wide slowdown, and our top line went backwards, but in 2023, we still expanded our adjusted EBITDA margins from 20% to 27% when you compare it versus 2022. And that bottom line performance amidst top line contraction is our longstanding operating philosophy. When we see demand from employers decrease, we pull back on expenses. And in this most recent 18 month long decline, we've actually cut our operating costs by over 47%. And this both reflects the discipline with which we adhere to our operating philosophy and also highlights the flexibility of our business model. If the current flattening trend continues, we are willing to accept lower EBITDA margins so that we remain ready to capitalize on what we consider to be an inevitable market recovery. If we see that recovery in 2024, you can expect that we're going to increase investment just as we did when the first economy signals showed us that -- the economy was reopening after COVID. And alternatively, if we see the market decline further, we're going to manage our costs accordingly. So effectively we're in a wait and see position, and we remain nimble and we will adapt to the realities of the market as it evolves this year. But certainly the flattening we're seeing is something of a new phenomenon given the last 18 months of performance.
Brian Fitzgerald: Thanks, Ian. Appreciate it.
Ian Siegel: Yeah.
Operator: Your next question…
David Travers: Sorry. Yeah, so to the second part of your question on verticals, we have continued to see a number of verticals move in the dynamic environment we're in. So for example, tech, which was a leading vertical that started to tail off in terms of hiring. Tech continues to be quite slow as one example. Another example is government sector where started off the downturn quite strong, but over the past quarter has been fairly soft. And on the flip side, a bright spot is education where there continues to be a teacher shortage and other school, and education related shortages, and where there's continued catch up hiring aggressively taking place. That said, in every quarter, in every year-over-year period, we see sectors moving in different directions. And there's been no major structural change to the mix, or the weighting of our marketplace vis-a-vis the whole economy. Again, in terms of industry, in terms of geography, our marketplace in terms of job skill level, our marketplace looks very much like and is very representative of the whole U.S. economy.
Brian Fitzgerald: Thank you, David.
Operator: Your next question is from the line of Doug Anmuth from JP Morgan.
Unidentified Analyst: Great. Thanks for taking the question. It's Wes on for Doug. Product improvements and then still investing in the long-term opportunities, I think that's pretty largely consistent with what you did last year as well. So just kind of given the uncertainty ahead and coupling that with what you've already accomplished in '23, what are key priorities or areas of focus for you coming into '24 from like a product or investment perspective?
Ian Siegel: Hi, this is Ian, I'll take this question. We are tremendously excited about where our product is going because it feels like we've started to really reap the results of what our long-term strategic roadmap has been focused on. And namely, for a long time we've been focused on building the best matching algorithms in the category to bring job seekers and employers together to actively connect them. But what we have learned and where we are now currently deeply and intensely focused is that it's not just enough to show the two sides the right batch. We also have to stoke them to engage. So we're spending a lot of time working on engagement features, and you already are seeing the impact of that. And I can bring that home with data. So if you look at 2023, our organic job seeker traffic increased 40%, which was enough to offset the reductions in investment in paid acquisition for job seekers we did in that year. So effectively 2023 traffic was largely flat with 2022. However, the level of engagement and the number of applications from those job seekers was up 17%. So that is a massive swing in the level of interaction between the two sides of our marketplace. And we're just really excited about that because it shows that we're on the right path. And this category for us has very much been about building a brand, so that we get a direct flow of organic traffic to the two sides of our marketplace, building the best matching so that we know who should be talking to whom. And now we are very focused on stoking those two parties to actually engage and engage quickly. And we're seeing really healthy success there. And so we're going to keep investing. It's part of our thesis on staying nimble this year and keeping investment levels where they are because we feel like our product is rapidly improving. And as I said before, we're seeing the first -- and it's early, but we're seeing the first signs of the market flattening. So we are going to stay poised and ready for that.
Unidentified Analyst: Great. Thank you so much.
Operator: Your next question is from the line of Ralph Schackart with William Blair.
Ralph Schackart: Afternoon. Thanks for taking the question. On the call, you talked about the last few weeks seeing the labor market flattening out. Just curious, was that sort of a gradual, sort of trend to when it eventually flattened out, or was it a little bit more pronounced? And then just to follow up to that, are you seeing that across the board with SMBs as well as enterprises? But any color you could add between those two segments as well, be helpful. Thank you.
David Travers: Thanks Ralph. This is Dave. Yes, so, it's been fairly broad based. It's very early, but we've seen a few other periods of a couple weeks here and there where we've seen some signs of flattening over the past 18 months and then further down trends, but this has been going on for a few weeks now over a month and it's been pretty broad based in terms of industry and category size. But it's, I would say, much more gradual than anything sharp, or like a recovery.
Ralph Schackart: Okay. Thank you.
Operator: [Operator Instructions] Your next question is from the line of Justin Patterson with KeyBanc.
Justin Patterson: Great. Thank you very much. Good afternoon. Two, if I can. First, just wanted to go back to kind of some of the investment commentary you've given. You've obviously made a lot of progress with the products over this past cycle. It sounds like we can expect investment stepping up a bit more here. As you just look at all of the product improvements you've made and are leaning into marketing again, how should we think about just market share gains coming out of this cycle versus what existed in the past? And then if got a follow up after.
Ian Siegel: This is Ian and I will again take the question. So the way we think about market share is, it's really hard to measure quarter-to-quarter, better measured over years, and especially when you're experiencing the kind of seismic changes in the labor market that we've undergone over the last one and a half years, it gets really tricky. But that said, we definitely believe we are gaining market share. And while our top line has come down, we are certainly not alone there. Our entire industry has effectively suffered a decline. And while there are a few larger players and many smaller ones, what still seems clear is that online is taking share from offline and that we ZipRecruiter have been winning share in that online segment of the market. Let me explain why we believe that and why we are confident that we're going to continue taking share in the future. I already mentioned that our organic job seeker traffic is up over 40% in 2023. That is a significant amount of increase in traffic. That going up allowed us to turn paid job seeker acquisition down. And while we didn't invest at the same levels, we effectively were able to keep job seeker traffic flat because there were so many job seekers coming to us for free.  Further, those job seekers were highly engaged. As I mentioned before, the total applications were up 17% in 2023, which we view as validation of our strategy on improving our matching algorithms and also improving Phil. So the more we make Phil feel real, the more conversational and warm Phil becomes, and the better key guides, job seekers, through their process of putting together a resume and looking at the right jobs, it seems to be a virtuous cycle in terms of not only are we getting more traffic now, but we are optimistic about the future of what this strategy could bring to the site in terms of both users and their engagement. So if we zoom back out, we've also achieved 80% aided brand awareness with both employers and job seekers, which means we are a top of mind solution for both sides of our marketplace. And that has proven to be incredibly valuable because it generates a foundation of effectively organic traffic. And it gives us tremendous flexibility when it comes to navigating downturns like this because it gives us optionality in terms of control of our expenses. But further, and what we're also excited about is, there definitely is a value in having a recognizable brand when it comes to marketing and advertising in terms of the level of response that you get. So being a known brand, having higher brand recognition, that increases the efficiency of advertising. And when we see the recovery come and when we're investing into that recovery, it's just another advantage that we are able to press, as the category resumes to something that looks more like normal. I want to stress, again, the flattening we've seen is very, very early and we have seen signals of flattening before and then downturn resumes, so too soon to call it. But we are watching closely and staying very focused, and keeping optionality for now.
Justin Patterson: Got it. That's helpful, Ian. And the second question might also have some too early to call pieces in it, but I'll try anyway. Dave highlighted several examples of how LLMs are being used across the business. When you step back and just look at a lot of this AI investment, do you think you'll see more of an impact on either the revenue side or expense side this year? And I'm just curious, why you think one or the other?
David Travers: Well, I'll talk about it like this, which is a ZipRecruiter has been an AI company for almost a decade now, and we've explored a variety of different techniques in order to bring this best-in-class matching that we have produced so far. And now you have these new large language models which effectively allow software to develop a personality and a voice, but there is so many ways you can use it and we have allowed it already to permeate our experience. And I would say that this is something that is going to dramatically improve the process of employers finding the right candidates and candidates finding the right job. It will certainly be a tailwind for us as it is already part of the recipe that has led to the increase in the great matches that we see increase in the number of applicants that we've been able to generate per employer. And so it is already having an impact. There is a -- I think there is going to be a lot more to talk about as it relates to these large language models and how they can allow us to improve our service. And while I don't know the when of -- when the revenue impact will come, I do believe better service over the long-term leads to better revenue. And that is -- that seems very clear to us that that is available to us in the future through continuing optimization.
Timothy Yarbrough: Yeah. To add onto that, Trevor, one of the things we've seen thus far as we bring on new technologies to make us more efficient, for instance, the campaign creation process for enterprise customers used to be highly manual now, only a tiny percentage of campaigns are made manual, as I spoke about earlier. That's a case where rather than reducing expenses, what we've done is redeployed the resources that would've done that to spend more time with customers, align upfront on a shared definition of success, drive results faster, analyze and optimize campaigns, et cetera. So I think we're seeing early signs that that's going to really payoff for us, but that's how we've approached it thus far. And I look forward to reporting on more about what the results are as we continue to invest.
Justin Patterson: Thank you.
Operator: Your next question is from the line of Mark Mahaney with Evercore.
Mark Mahaney: Okay. I just want to ask about quarterly paid employers, and I apologize, I came in late, you may have already addressed this. But how do you think about and how should we think about where this number can trough? And I know there's sort of two factors I think going on is obviously the -- there are macro issues, but also there may be in certain verticals, large industry verticals, there just may be kind of a change in philosophy on hiring. And maybe I'm over fixated on the tech vertical, but there just may be that -- we're going to grow first and then maybe add hires later, which is kind of a change in mindset, I think. So, anyway, just help us think through where that number could base out and how much of a lagging indicator that could be this time, maybe because the structural changes in hiring thoughts versus last economic cycles. Thank you.
David Travers: Thanks Mark. This is Dave. So, yeah, in terms of the paid employer number, as referenced earlier in our letter, the hiring rate during Q4 reached the lowest level since 2014. So that's the number of hires in a given month adjusted for the size of the labor force. And so that metric if it were to continue to come down, could impact paid employers or if that were to recover or stabilize, that could certainly have an impact on paid employers. I think it would've a bigger impact than any permanent shift in attitude toward hiring per your comment. Like I said earlier, tech is one of the, if not the most impacted vertical on a year-over-year basis in the entire economy as we look out there and that's where I think the biggest sort of structural attitude shift toward, hiring is being talked about. We have not seen that permeate other sectors to nearly the same extent. But honestly the biggest factor we see there is the what drives that higher number is less the net growth in jobs or anything like that. The most hires are to backfill people that have left to take on another job, or decided to do something different. And as Ian and I talked about earlier, the great resignation has turned into the big stay. And we see that as something that is working through the system after the tumult of people sort of sheltering in place during COVID, a great reshuffling in terms of a big resignation during COVID and the immediate reopening. And now there's some sort of digesting of that. But fundamentally, we continue to see the economy and business needs being extremely dynamic, the needs of different types of jobs. They have employees opportunity to go get even better jobs or get a raise. Those things are going to continue to be the case. So structurally we don't see any massive shift underway despite some of the more tech oriented headlines and thought leadership around what that might bring.
Mark Mahaney: Thank you very much, David.
Operator: Your next question is from the line of Eric Sheridan with Goldman Sachs.
Eric Sheridan: Thank you so much. Two questions, if I could. Topics we've talked about on prior earnings calls, given the demand environment on the job side, what is the current update on your efforts to keep job seekers more engaged for longer and potentially set up a healthy rebound when the macro environment's more receptive to that scale of job seeker and level of engagement that you've been building over the last couple quarters you've talked about? That would be number one. And then with the ability to pull back on marketing the way you have more recently, any key learnings that you have that that could mean increased leverage or higher ROI around your marketing dollars that could have longer term implications for the company beyond the current period. Thanks so much.
Ian Siegel: I'll take the first part of that question, which is -- I think we're already seeing evidence of success in terms of driving up job seeker engagement. As I said, organic traffic was up 40% last year and that trend is something that we're excited about. And if you look at their behavior, it's not just volume of people coming directly to the site without requiring a paid acquisition strategy to bring them here, but they are proving to be much more engaged than the previous year's cohort. And that is a manifestation of a variety of changes that we have made to the website. And those fall into a few big categories, but namely, we're better at matching, we're better at showing opportunities to the right people and we are more respectful of those people in terms of being very selective about what jobs we choose to show them. So you add all that together and the quality of the average user's experience is just persistently going up. So it is definitely our focus and our belief that engagement is something that is important to keep growing and I think we are well on our way.
David Travers: Yeah. And then to take the second part there, in terms of marketing efficiency, we certainly think that the well over $1 billion we've spent to get 80% brand awareness on both the job seeker and employer side of our marketplace is going to pay dividends, as the recovery eventually takes shape. And as we invest in marketing behind that, I think the -- to Ian's -- as Ian was just talking about the most tangible way you can see that now is, this increase in organic job seeker activity. These are the highest quality job seekers and these are the result of long-term investments that we've been making in product and brand. And so I think that mix shift toward organic and as you can see, as we bring marketing down -- as stated earlier by 45%, but still drive this growth and organic job seekers is really going to have the potential to have a financial impact over time and gives us the continuing confidence about our ability to hit our long-term, 30% EBITDA marching target.
Eric Sheridan: Great. Thanks for the color.
End of Q&A:
Operator: At this time, there are no further audio questions. This does conclude today's call. Thank you for joining. You may now disconnect.